Operator: Welcome to Liberty Media Corporation's 2025 Q1 Earnings Call. As a reminder, this conference will be recorded, May 7. I would now like to turn the call over to Shane Kleinstein, Senior Vice President, Investor Relations. Please go ahead.
Shane Kleinstein: Thank you, and good morning.  Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties including those mentioned in the most recent forms 10-K and 10-Q filed by Liberty Media with the SEC. These forward-looking statements speak only as of the date of this call, and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures for Liberty Media, including adjusted OIBDA. The required definition and reconciliations for Liberty Media Schedule 1 can be found at the beginning -- at the end of the earnings press release issued today, which is available on Liberty Media's website. Speaking on the call today, we have Liberty's President and CEO, Derek Chang; Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling; Formula One's President and CEO, Stefano Domenicali, and other members of Liberty Management will be available for Q&A. I'd like to turn the call over to Derek.
Derek Chang: Great. Thank you, Shane. Good morning, everyone. It has been a great start to the year at Liberty. Importantly, the priorities we have outlined for 2025 are progressing well. Namely, number one, we are working towards the close of the Dorna acquisition; two, continuing our path towards structural simplification. And three, we continue to drive momentum at Formula One. Starting first with the Dorna acquisition. We are progressing with the Phase II regulatory process and working constructively with the European Commission. We hope to receive approval by the long stop date of June 30, 2025. The MotoGP kicked off 2025 with its first-ever season launch event in Bangkok. The event generated massive buzz bringing together all 11 teams to showcase MotoGP as a thrilling sport and premium entertainment brand. MotoGP will host a 22 race calendar in 2025 compared to 20 races last year, which was impacted by race cancellations necessitating 2 replacement races scheduled mid-season. The season is off to a great start with incredible on-track action and growth independence across the first 5 races completed to date. The Argentina Grand Prix set a new attendance record for the track with over 200,000 spectators. [indiscernible] attendance was up 15%, and COTA hosted its largest crowd since 2018, and [ Herrera ] saw it's highest attendance since 2015 with 24% growth over 2023. The company announced several commercial agreements to start the season, including Pirelli as the new tire supplier starting in 2027 and the extensions of the Barcelona French and Valencia GPs through 2031. Our second priority is continuing to progress our structural simplification, including the planned split off of Liberty Live. Our third priority is continuing to drive momentum at Formula One. The confluence of excellent racing and commercial momentum is benefiting engagement and financial results in 2025. There are several areas currently in focus worth highlighting. We are seeing continued momentum in sponsorship and licensing to start the year. An excellent showcase with the LEGO partnership last weekend in Miami, where all 10 teams rode in fully drivable LEGO F1 cars for the drivers parade. The project took over a year to come to life and required 400,000 LEGO bricks per car. It was an amazing collaboration that captivated our fans and the Internet and our drivers loved it. Looking ahead, pulling the sponsorship pipeline forward has allowed our team to focus on 2026 and beyond and emphasize securing blue-chip names aligned with the F1 brand. The appeal and breadth of the F1 brand are uniquely resonating with sponsors across B2B and consumer brands alike. Second, we are focusing on improving LVGP stand-alone economics and maximizing the overall benefit to the F1 ecosystem. Tickets went on sale in early April and volumes are trending ahead of this time last year. Lower initial ticket prices are driving momentum, which we expect will drive greater sell-through.  With the first 2 years having demonstrated clear benefits to the wider Vegas ecosystem. We are engaged in encouraging discussions with key local stakeholders, to ensure their support and best position the event for future growth. Finally, our current U.S. media rights agreement concluded at the end of 2025, and we are in active and productive discussions for a new deal. F1 is a strong product for broadcasters with solid growth in the U.S., including this season and an attractive demographic with 1/3 of viewers under age 35, females representing 42% of the fans. We remain focused on finding the right partner to continue to innovate on broadcast offerings and sustain our momentum in the U.S. While it's early in the year, performance to date is strong. The contractual nature of that Formula One's cash flow provides high visibility into our business performance for the next several years and will be especially important in this macroeconomic climate. As of March 31, Formula One had $14.2 billion of future revenue secured under contract. Advanced ticket sales for our promoters and hospitality tickets for the remainder of the season remains strong. We continue to actively monitor changes in consumer sentiment, though historically, Formula One's business model has proven resilient in times of economic uncertainty. We are encouraged by the strength of the business and look forward to completing the rest of an exciting season. Now, I'll turn it over to Brian for more on Liberty's financial results.
Brian Wendling: Thanks, Derek, and good morning, everyone. At quarter end, Formula One Group had attributed cash and liquid investments of $2.8 billion, which includes $1.5 billion of cash at F1 and $69 million of cash at Quint. Total Formula One Group attributed principal amount of debt was $2.9 billion at quarter end, which includes $2.4 billion of debt at F1, leaving $526 million at the corporate level. F1's $500 million revolver is undrawn and their leverage at 3/31 was 1.2x. As a reminder, all MotoGP transaction-related financing is in place and deal contingent. Turning to the Formula One business, I'll make brief comments on the quarterly results. Though as we all know, the business is best analyzed on an annual basis given variability in the year-over-year race calendar and timing of events. Note that every quarter in 2025 will have incomparable race count and mix, which will impact year-over-year comparisons of quarterly results throughout the year. Most of the variability in year-over-year results is due to the 2 races held in Q1 2025 compared to 3 races in Q1 2024. Race promotion revenue decreased due to the mix of races with Australia and China occurring in the current period compared to Bahrain, Saudi Arabia and Australia in the prior year. Media rights and sponsorship declined as only [ 02/24 ] projected season-based revenue was recognized compared to [ 03/24 ] last year. Sponsorship is also impacted by the calendar shift as the Saudi Arabia and Bahrain races both have race-specific local title sponsorships and recognition of that race-specific revenue shifted with the timing of those races. However, the decline in sponsorship revenue was largely offset by strong underlying growth from new and renewed deals impacting 2025. Media Rights revenue is benefiting from contractual increases in rights fees and continued growth in F1 TV, benefiting from the launch of the new premium subscription tier. Other revenue declined during the first quarter as a result of one less Paddock Club event and the mix of races held. Adjusted OIBDA declined alongside revenue during the quarter driven by the calendar variance. Other costs of F1 revenue increased due to higher freight costs with longer routes flown and increased commissions and partner servicing costs, servicing the overall primary F1 revenue growth as well as higher cost for Grand Prix Plaza due to more activity compared to Q1 2024. On a full year basis, we expect other costs of F1 revenue to be consistent with prior years as a percentage of total revenue. SG&A increased in the first quarter due to marketing costs associated with the season launch event at the O2 and should be viewed as a percentage of total revenue for the full year. Team payments decreased in the first quarter due to the lower pro rata recognition with 1 less race held partially offset by the expectation of higher full year team payments. As a reminder, a reminder that team payments as a percent of pre-team adjusted OIBDA was 61.5% in 2024, and we expect that percentage to continue to come down as we complete the term of the current Concorde agreement at the end of 2025. In connection with all 10 teams signing the 2026 Concorde Commercial agreement, Formula One paid a total of $50 million to the teams in the first quarter. This cost is excluded from adjusted OIBDA and presented separately from team payments. Although revenue and adjusted OIBDA were lower year-over-year due to the calendar variance, we are seeing strong -- a strong financial start to the year and are tracking well against our internal plan. Grand Prix Plaza in Las Vegas officially opened its new year-round activations on May 2. Revenue from these activations will be recognized at the F1 OpCo level that we expect results will have a modest impact in 2025 as we scale that business. The vast majority of the CapEx required to build out Grand Prix Plaza activations was incurred in the first quarter. Total F1 CapEx was approximately $33 million year-to-date, including slightly less than $20 million incurred related to GPP. Looking briefly at Corporate and Other results in the first quarter. Revenue was $53 million which includes Quint results and approximately $6 million of rental income related to the Las Vegas Grand Prix Plaza. Corporate and other adjusted OIBDA loss was $12 million and includes Grand Prix Plaza rental income, Quint results and corporate expenses. Reminder that Quint's business is seasonal with the largest and most profitable events taking place in Q2 and Q4. Q1 has modest event activity while still incurring ordinary course operating expenses. Quickly turning to the Liberty Live Group. There is attributed cash of $314 million and $400 million of undrawn margin loan capacity relating to our Live Nation margin loan. As of May 6, the value of our Live Nation stock held at Liberty Live Group was $9.3 billion. We have $1.15 billion in principal amount of debt against these holdings. Liberty and F1 are in compliance with their debt covenants at quarter end. With that, I'll turn the call over to Stefano to discuss Formula One.
Stefano Domenicali: Thanks, Brian. Formula One is off to a great start in 2025. We have 6 races into the season and continue to see exciting on-track action. The wins have been spread across teams and the racing is tighter than expected. While early in the season, we expect the action to continue. The strong on-track performance has fueled fan engagement. Attendances is up over last year with sellout crowds at nearly all races to date. We reached a new record crowd for the Australian Grand Prix with an outstanding 465,000 weekend attendees. Demand for the balance of the year is strong as well. Mexico sold out in a matter of hours for the 10th year in a row. And Montreal again experienced strong demand with the majority of the 2024 guests returning in '25. Demand for hospitality products also remain high. Season to date, we sold over 12,000 tickets at Tower Paddock Club, and we have seen strong advanced sales across the remainder of the season. We remain focused on opportunities to increase capacity and are working on alternative and innovative hospitality products where demand outstrips supply. Turning to viewership statistics across our top 50 markets, Live TV viewership grew for the first 5 races of the season. We had over 60 million cumulative linear TV viewers for the opening Grand Prix weekend in Australia. The U.S., in particularly, has seen strong growth with ESPN viewership up 45% across the first 5 races. The Australian Grand Prix was the most viewed edition of the race ever for the U.S. audience. Other markets with notable linear viewership growth include Brazil, France and Australia. Highlights viewership on F1 YouTube channel has increased by 31% compared to last year, emphasizing the significance and growth in our digital channels as fans finds new ways to engage with our footage on and off the track. Social media follower has now reached 100 million, growing 30% year-over-year. The first quarter growth was particularly driven by Instagram, TikTok and YouTube. Looking more broadly, Nielsen released new fan data in March, showing the continuous surge in F1 fandom. With our total fan base as of year-end over 826 million, adding nearly 90 million new fans in 2024. These engagement figures are not just numbers. They represent the growing global appeal and genuine engagement with our sport and validate our initiatives to enhance F1 for our fans. The strong engagement figures are part of a broader picture of commercial success, where I'm pleased to report we continue to have strong momentum. On race promotion, we are working toward finalizing our '26 calendar. We were excited to announce renewal of our Mexico Race through 2028 and  Miami through 2041, the longest contract currently secured and a statement to our success in the U.S. market. The vast majority of our races have now secured under medium and long-term contracts. Demand from potential new races host remains robust, and we are evaluating various opportunities for the future. The Netherlands will host their final race in 2026, and Spa will race in alternative years from 2027, leaving in an opening on the calendar in 2028. Tickets for Las Vegas went on sale April the 9th, featuring new ticket pricing and offerings. Tickets now start at $50 for a single day general admission and $400 for 3-day general admission in Flamingo zone, and we communicated to the fans that the price will not be going down from their initial sales, helping to drive urgency and momentum in sale. To date, we are very pleased that our sales velocity in Vegas is meaningful outpacing last year. Our Media rights business continues to demonstrate the growing competition for marquee sport rights. F1 TV subscriber growth continues to be robust with total subscribers up 4% year-over-year led by the U.S. market up 20%. The launch of our new F1 TV Premium tier has outperformed expectations, especially in key markets like the U.S. We are in active and positive discussion for our U.S. media rights with multiple partners and look forward to sharing updates once final. Of course, there's more content towards than just the race.  Additional series like Formula 2 and Formula 3, the Sprint and F1 Academy are providing broadcaster with more confident value. Viewership for Sprint races consistently show strong year-over-year growth with the Sprint at the Chinese Grand Prix seen over 1 million viewers for the live broadcast on CCTV in China and viewership doubled in Italy as Lewis Hamilton celebrates his maiden win for Ferrari. Outside of the race weekend, Drive to Survive Season 7 reached Netflix Global Top 10 for another year and appeared in the top 10 list across 39 countries. The F1 Academy docuseries without sanction is going live on Netflix on May 28. The Apple movie announcement its premiere date on June 16 with the film sound track and field merchandising released just last weekend in Miami. On the sponsorship front, we entered the year with high visibility for 2025 and a strong pipeline for additional growth potential. Recent new deal announcement include Barilla pasta as an official partner and PWC as our official consulting partner as part of the PWC agreement they will provide strategic consulting to our global business to help enhance our performance and drive operational efficiency and excellence. Our team continues to focus on both '25 and '26 pipeline with progress being made on a number of high-value renewals and new partnerships. Licensing continues to be a matter of focus on growth. Our new license partner, LEGO has seen high demand for its F1 products, selling on average 1 piece of LEGO every second in the month of March. We saw an exciting activation in Miami, where all the drivers took part in the regular drivers parade in fully drivable LEGO cars. On the experiential licensing front, F1 Arcade continues to expand to new locations. The Boston and Washington DC venues held sold-out watch party for the Australian Grand Prix to kick off the season. A new arcade is opening in Philadelphia on May 29, with Denver, Las Vegas and Chicago opening in the fourth quarter. The F1 exhibition has sold more than 530,000 tickets in the last 12 months. Buenos Aires opened on March 22 and sold over 40,000 tickets in its first month. Amsterdam opened in April with 45,000 tickets sold in advance on its first day. In March, we held the launch event for new activation experiences at the Grand Prix Plaza in Las Vegas, which opened to the public last week. The venue now offer an opportunity to immerse fans in F1 year-round and provide the Las Vegas community with a new fun and engaging daytime activity center. Grand Prix Plaza feature an F1 inspired carton experience incorporating part of the Las Vegas Grand Prix circuit, an immersive F1 exhibit, the latest F1 racing simulator, a fast casual eatery, a retail store and 3 private event spaces. This activation are set to operate through the first 3 quarters of the year annually, generating revenue from the site when it is not required for the Grand Prix. On Formula One sustainability effort, I'm proud to say that we recently issued a report on our progress from the 2024 season with a full impact report due to this published later this year. We made significant investment in sustainable aviation fuel. 90% of our promoters improved fan access and travel option and 100% of promoters work with local community organization on programs targeted in the next generation. In addition, from 2026, the F1 cars will be powered by 100% sustainable fuel, a technology that is becoming increasingly important for the automated sector as country looked for solutions to reduce greenhouse gas emission from road transportation. Our recent power unit manufacturing meeting held in Bahrain demonstrated a clear commitment to the planned 2026 engine regulation and maximizing the success of those new rules with all parties working together to ensure the best racing for the championship. We expect all the F1 teams to start shifting their focus to the 2026 engine as the season progresses. Looking forward, while we are early in our '25 calendar, we already have an eye toward '26. We have agreed the basis on which Cadillac will enter the championship in '26. We have also agreed to a new Concorde commercial agreement with the teams for 2026 through 2030 and are making good progress on the governance term. Both the commercial and proposed governance terms are financially attractive for the entire F1 ecosystem and represent the collaboration and partnership we have built with the FIA, F1 teams, with a shared goal of growing F1 for our mutual benefit. In closing, we are very pleased with our start to 2025 season. Our strong on-track performance, growing fan base and robust financial results position us well to deliver an excellent 2025 and beyond. Avanti Tutta -- Full Speed Ahead. And now I will turn the call back over to Derek. Thank you.
Derek Chang: Thank you, Stefano and Brian. A very quick note and exciting news. Please save the date for this year's Liberty Media Investor Day. Changing things up this year, Investor Day will be held alongside the Las Vegas Grand Prix on Thursday, November 20 in Las Vegas. We will have more details to share in due course and look forward to seeing many of you there. We appreciate your continued interest in Liberty Media. And now I'd like to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question today is from Stefan Laszczyk of Goldman Sachs.
Stephen Laszczyk: Maybe to start just on team payments and the budget for the year. Bryan, curious if you could talk a little bit more about how the team payment budget is structured for the year. And if there were opportunities for upside in that budget in terms of what you pay the teams, what some of the larger opportunities out there could be over the course of 2025 as you execute against them and reach the potential of what you think this business could produce this year.
Brian Wendling: Yes. Thank you for the question. At the beginning of the year, and as we've talked about in the past, there's always prudent financial forecasting at the beginning of the year. We do think that there's opportunities for upside, but we want to be conservative in thinking about the variables that we have out there, which are the Las Vegas Grand Prix towards the end of the year, and then sponsorship. Everything else is contracted. And as you've seen in the past and we've talked about in the recent quarters, the company is moving away from large go gets and sponsorship in the current year and focusing on future years. Are there still opportunities? Yes, there's probably some opportunities there. But -- the biggest unknown will ultimately be ticket sales, which you've heard are trending well currently.
Stephen Laszczyk: That's great. And then maybe just a follow-up on the sponsorship business. It sounds like there's still some focus on bringing in sponsors or renewing in '25. Would be curious if you could just comment on what those are and to what extent this could still move the needle. And then I guess as we look out into '26, it sounds like your attention focus there as well, longer sales cycles on the sponsorship side. Something you've been focused on. Just curious if you could give us an early read or early look into the '26 sponsorship funnel and to the extent you think that could grow off of '25, what the banded outcome could potentially look like on that?
Brian Wendling: I'll just -- I'll turn it over to Stefano. Yes. I was just going to say we're on...
Stefano Domenicali: Thanks, Stephen, for the question. Thank you. I mean, I think that we have proven in the last couple of years that our strategy with regard to the sponsorship is quite solid. The main focus is for sure to maximize our revenues, but we need to make sure that the partners that we have are stronger and invested with us with our experiential world. We have a strong pipeline and what we have said already and is confirmed to be here is the quality over quantity and a very, very genuine active activation with our partners because this is crucial in this moment where we want to make sure that our platform is what really our sponsor wants. And the evolution between the structure of our partnership between global, official, regional and technical is getting stronger and stronger. So the focus is definitely to see if we have seen some opportunities in '25, but the big one is keep going on in the next couple of years, and it just remind to all of us where we were just 4 or 5 years ago and now where we are today. There is still a long way to go, and we are very optimistic on the fact that we will continue to grow that as a revenue stream. And also as a potential awareness increase through them to our partners of our products.
Derek Chang: Thanks, Stefano, this is Derek. I'd just like to add, I've been able -- had the opportunity to spend some time with Stefano at the track over the last couple of races. And in speaking to both sort of current sponsors as well as potential sponsors, I don't think I've been in a situation where I've seen this sort of energy and excitement around the possibilities to engage with the sport, to engage with F1. Normally -- well, not normally, but in some of my other experiences having been around major sports leagues and such, you kind of are always in a bit more of a balanced state where you've got guys coming in and guys going out here. It feels like, for the most part, the energy is up and it's great to see. And look, it goes obviously beyond F1, but to the entire sport, and you see what the teams themselves are doing and they themselves are also expanding their sponsor bases, which is great. I spent some time with Zach Brown last week, probably he's one of the more prolific marketers in the paddock and he was telling me about his plans to sell the underside of shoe. So we'll see that happens.
Operator: The next question is from Ben Swinburne of Morgan Stanley.
Benjamin Swinburne: I don't know if Stefano or Derek, I don't know if either of you want to take this or which ones you want to take it. But on the media rights process in the U.S., I mean one of the things that I think has happened with the business is F1 TV has been growing really nicely for a number of years. And it sounds like, and particularly in the U.S., I'm just wondering how you think about that as an asset or a chip to play, so to speak, in your U.S. media rights deal. Are you open to bundling that in a broader agreement, with potentially a streaming partner? Or do you think that business now is so large and sort of differentiated that you want to keep it as a stand-alone product. And then I don't know if -- I couldn't tell if the Concorde agreement is finalized enough, but I thought I'd ask Brian. Are you able to tell us whether or not you expect any team payment leverage to take place in the '26 to '30 time frame? Any color given some of the previous comments over the last few earnings calls on the topic would be helpful.
Derek Chang: Stefano, why don't you go ahead and start?
Stefano Domenicali: Yes. I mean, thanks Ben for the question. I mean, you're right. First of all, it's always interesting to see the speculation going around with regard to moments where they were optimistic, negative comments and so on. But apart from that, I would say we came back from this weekend in Miami, really with the fact that we are engaging with the multiple partners, and there is a lot of potential interest from many of them, of which we need to hammer down because we have the time to do it with the proper proposal. As you were correctly saying, F1 TV product is growing and is very, very positive and the feedback mainly in U.S. is very, very strong. And therefore, we need to make sure that this asset is right and very valuable. Therefore, we are open to any kind of possible discussion depending what will be the end and what we believe is the right way to make sure that we keep the penetration in the market as high as possible and making sure that we can monetize out of it. But the dynamics are very positive. So we keep working on it with them. And I think that the next month will be crucial to see really where we're going to be. But we come back from Miami, as I said at the beginning then with a very good and positive vibes because I think the U.S. audience figure in Miami that we're very, very strong shows the potential that we have. And I'm sure that the media partners understand that for a possible asset also for them to develop another small business together. Derek, you want to talk in on that.
Derek Chang: Yes, I'd like to -- this is Derek. Following up on what Stefano just said, we are having good conversations with potential partners on the U.S. media rights deal. I think what's been sort of interesting here is the sport itself continues to grow. As Stefano mentioned, particularly in the U.S., as Stefano mentioned in his comments earlier, viewership across the weekend is up sort of 45% year-over-year. I think F1 TV's growth is up 20% here in the U.S. I think the overall health of the business continues to resonate. And what that means, I think -- I think it's not even this year, but -- and this renewal negotiation. But I think what that means for the long term is pretty significant. I still think we're in the early stages of growth for F1 in the U.S. And having the take-up of F1 TV be what it is in the U.S. at this early stage, I think speaks volumes about the passion for the sport and I think puts us in a great position well into the future. When you zoom back in and think about how you balance F1 TV and a broader media rights deal. Look, we will see how things play out, we'll see what partners want in their deals, and we will see what makes the most sense for F1 in terms of balancing things like reach, but also having products like this for ourselves so that we can actually understand our customers as well as we can because it goes beyond sort of what we're delivering to them on the content side. But also we can deliver the most engaged fans across the board in terms of engaging with F1. So I think that the answer here from my standpoint is we actually see sort of a ton of -- a different way this can go play out, but underneath that are underlying it all is extremely strong demand for F1 and the engagement from the fans here in the U.S., which is great to see.
Stefano Domenicali: And then Ben, on your second question, on the '26 commercial agreement -- Concorde commercial agreement, yes, we do expect leverage in '26 to -- versus where we finish the full year of 2025. And then going forward, we expect a more simplified structure that benefits all the parties in the ecosystem.
Operator: The next question is from Kutgun Maral of Evercore ISI.
Kutgun Maral: I just want to ask about MotoGP. I think it's encouraging that we're getting closer to regulatory approval here. Now that maybe there's a bit more clarity on getting that deal done you could talk a little bit about if anything's changed since the deal was initially announced in terms of the broader opportunity that you see ahead with Moto.
Derek Chang: This is Derek. I'll take this one. Obviously, we -- the deal is not done until it's done and we continue to work with the European Commission to get to the finish line here and are hopeful that we will do so. I think from our perspective, we continue to see upside in MotoGP and are probably just as bullish, if not more, having spent more time with them or at the time that we are allowed to spend with them. And look, I think with any of these premium sports assets, the trick is how you take these and make them sort of mainstream entertainment assets. And you've seen us do that with Formula One, you've seen this happen across multiples of other sports. And I think there is that opportunity here. And as soon as the deal closes, we will be actively engaged with management at MotoGP to start executing on that plan.
Operator: The next question comes from Peter Supino of Wolfe Research.
Peter Supino: A question on sponsorship and one back to the media rights. On sponsorship, 50% fewer races so far year-over-year. And so of course, sponsorship revenue has that headwind? And yet, it looks largely offset by growth from new sponsors. And so we're wondering maybe this is too simplistic, but -- does that imply that sponsorship growth must have been close to 50% on an underlying basis adjusted for races as we think about modeling the year. Is that a useful number? And then on the media rights, we're on the opinion that the media rights are sort of uniquely misunderstood because the race times mean that the casual fan struggles to engage with the live broadcast. And so maybe the nonlinear format of streaming could really expand access for casual fans. And then of course, the media rights don't have any advertising. And so I wonder if you could comment on both of those opportunities for the media rights.
Derek Chang: Stefano, you want to start on the media rights?
Stefano Domenicali: Yes. Thanks, Derek. I mean, I can start definitely with the media rights. I think that is definitely very important to recognize one thing. And that it is clear in our situation where we saw the growth on all our social platform. We saw definitely the interest of the young generation to access to our content to YouTube or other form of engagement. But this is relevant, and we need to make sure that this is becoming part of the global strategy on media rights, not only U.S., but all around the world. But it's definitely important to make sure that the clearance of the fact that our clients that are getting more engaged with us will have the chance to connect with the right product is really the key for our strategy and our decision. And I think that what we need to make sure that because now we have different typology of fans, they need to have the possibility to engage through different options that we need to offer to them. That's the biggest strategic things that we want to put in place. And of course, this is relevant to the partner where we need to choose and work together into the future. It's relevant because we see the dynamics that are different. Of course, if we see where we are in Europe -- in Europe, we have a long-term deal with our broadcaster that will enable us to understand what will be the evolution on that market. And we know that this is a different situation that we need to monitor all around the world. But in a nutshell, I think that our strategy will fit with the right partner that will be part of us in developing the knowledge of our sport. This is what I can say on the media side. On the sponsorship side, if I may, Peter, I think that the relevancy of what we are doing is confirmed by the quality and the numbers that we put in place every year, that means that as correctly that Derek was saying before, the partners that are working together with [indiscernible] are really different from B2B opportunity to consumer, and we are offering an incredible opportunity of engagement that I would say without being disrespectful that our platform is becoming really very, very relevant. And this is the reason why we feel very, very positive and strong with our future even the next couple of years.
Derek Chang: Thanks, Stefano. This is Derek. Peter, that's -- your comment about F1 being unique, I agree with that. I think that we are uniquely positioned. And I think when you, again, think about media rights in this day and age, it's not about sort of just what's happening on race day for the 1.5 hours to 2 hours of the race. It's what's happening over the entire weekend. It's also sort of the way different demographics will engage with the property. And that's what we are focused on is continuing to deliver not just sort of the content of the race or even the practices and the qualifying but other content around the sport, but also delivering it across multiple platforms. So that there are multiple ways that and any age of any demographic of any interest to engage with the sport. Because as soon as, as I mentioned earlier on MotoGP, as soon as you're sort of a broad-based entertainment product, you have to recognize that, and you have to be able to touch all of those people and all of those fans. I'll let Brian finish up on that.
Brian Wendling: Yes. And just to add on to the sponsorship side, Peter, we're not going to give you a specific number in terms of that. But what I would encourage is patience because when you get to Q2 on a year-to-date basis, you have 11 races year-to-date, they'll be the exact same races you should get a really good feel for the trend in sponsorship. But there's lots of -- there's different revenue recognition aspects to year -- full year sponsorship that impacted. There's the calendar change. There's new sponsors. There's contract uplifts. There is lost contracts from last year that rolled off. So there's lots of different things in there that make it more complex than how you described it.
Operator: The next question is from Steven Cahall of Wells Fargo.
Steven Cahall: Brian, thank you for the guidance on other cost of revenue. Just thinking about that guidance. So I think you said it's going to be consistent with prior years as a percentage of revenue. I think most of us think revenue is going to be up sort of high single digits this year. I think that's an acceleration in other costs versus what you saw last year. I was wondering if you could just help us understand what's in that? Is that due to labor? Is that the Las Vegas Grand Plaza or something else? And then congratulations on the new Concorde agreement. I'm wondering how it contemplates continued focus on competitive balance? And if there's anything in the new agreement that might help start to improve the structure of some of the second tier teams eventually moving up into more competition with the top-tier teams.
Brian Wendling: Yes. I'll start with other costs. So on a full year basis, there's going to be items that increase. We always see that. We have increased partner servicing and commission costs that support the overall revenue growth of the business that are in there. You have some increased GPP costs as we start the year round activations. Obviously, those will be offset by the revenue that's being generated there. Otherwise, those are kind of the big things that you would expect. And as we've talked about in the past, we continue to focus on the growth of the business, and so there's growth initiatives that are in there as well to drive future revenue growth in the upcoming years.
Derek Chang: Stefano, do you want to talk about the Concorde?
Stefano Domenicali: Yes. I mean thanks, Steven. I think that, as you know, for us, it's essential to make sure that the growth of the sport is done in an organic way in a way that we can take on mainly 3 bullet points. The first one on the sporting side to make sure that the teams can be competitive. We need to make sure that the regulation is done in a way that if there is gaps to performance there is the chance for that we want to recover that. Second part related to the sporting side, I think that we have seen already the massive importance of having the budget capital, the cost cap that has given the possibility of the team to understand the level of performance from the technical perspective that they can reach to the money that they have. On the other side, point number two, it is the financial. And we see definitely that a healthy system allows through also Concorde and other sponsorships that are becoming important for the teams, we have a solid team that wants to stay and be even stronger and be competitive for the future. Third point is the awareness that the sport is living is bringing interest money to all the ecosystem that will regenerate the possibility of this organic growth through what we are doing. And therefore, I think that what we have done with fair and balanced approach to Concorde, I just brought the right approach and the right settings for a very, very healthy ecosystem that will be there for the future in the next couple of years will be characterized by these kind of elements.
Operator: The next question is from Ryan Gravett of UBS.
Ryan Gravett: Curious if you can give us an update on how renewal discussions are progressing for some of your non-U.S. media rights. I believe there are some deals coming up in Latin America and some Asian markets. So any color on the competitive tension you're seeing for those rights and if you're likewise seeing any interest from digital players?
Brian Wendling: Stefano?
Stefano Domenicali: Yes. Yes. Thank you, Brian. Yes, of course, that is a more dynamic and, I would say, year-by-year situation. We have so many cultures around the world -- that in a certain area, we can start to see some competition with regard to the streaming side of it. They are still smaller than what you can imagine, but it's definitely a healthy situation. We have countries like Japan, for example, that is quite big for us or other area in the far East Asia  and also in Brazil, for example, that will have an evolution, and we will have a positive impact in our relationship in starting for next year.
Operator: The next question is Joe Stauff of Susquehanna International Group.
Joseph Stauff: I was wondering first question on whether or not you could share with us any organic or same race commentary. Any -- any KPIs you have with respect to the 2 races in the first quarter? And then secondarily, Stefano, maybe a follow-up on an earlier question about team competition. It certainly seems parity where the competition has increased, especially the last season and maybe season to date. And I was just wondering, of those 3 buckets you mentioned, what were the most important reasons or improvements that you have made thus far.
Brian Wendling: Stefano, do you want anything to add. I can't get out of this.  Sorry, go ahead, Stefano.
Stefano Domenicali: No, no, I was saying, Brian, if you want to give your comment on the organic and KPI as the first question, and then we'll jump in on the second question of Joe.
Brian Wendling: Yes. All I would say is do the math on what we've reported here. We can't give you anything more specific than kind of what we're already showing. But there's a mix of braces, obviously. And so you've got Australia and China this year. You've got the 2 Middle Eastern races last year with China not being in the mix. And you can see the impact that you have there on revenue and OIBDA. I was just going to say, Stefano if there's anything you want to add on attendance or padded club at the one race where we had it, you can add that, but that'd be about it.
Stefano Domenicali: No, I think that's -- I think, Brian, you were absolutely spot on. I mean the dimension of comparing apple with peers, it is pretty clear that it's not even the same kind of balance. I think that as you already mentioned, there will be a clear situation, the more we go ahead into the next quarter because there will be -- we will see the organic growth that we are having everywhere. And that's it would be very, very clear. So on that, just I want to share good news that is happening all around the world also in that respect. That is not only the content that we have in terms of commercial agreement, but also all the other activities that are related to Grand Prix that are different to place to place. So the right comparison will be done exactly when we're going to have at the end of the year, the final results, but everything is progressing absolutely in the right way. Going back to the second question of Joe, about the team competition, we don't have to forget that on top of the 3 points that I said, there is also the things that after many years, naturally, the cycle of having the evolution that is becoming close to the tangent is bringing the teams to be very close. If you see this year, mainly in qualifying the gaps are milliseconds, so that is really impressive. Therefore, that is part of what we see today and it's also even more relevant to say that when we take the decision to change regulation, it is normal, and there are reasons for that, of course, that potentially there will be more gaps in performance at the beginning, but the regulation that we are putting in place will try to minimize or the time on which the teams and the new power units to manufacturers that were allowed to come in and also new things that will come in will have the time to react to that. So I think that the 3 pillars are very relevant, even more when there is a step change of regulation as it will be done next year. But as we remember to all of us, we're done to allow to new power unit manufacturing team to come in and also to have the focus on the sustainable fuel and hybrid engine that was relevant for us to keep in a sort of keeping the technology relevancy for the future in our sport.
Operator: The next question is from Spencer Amer of Deutsche Bank.
Spencer Amer: Thanks for the question. You announced a 10-year extension for the Miami Grand Prix with a number of years left on the current deal. I was wondering if you could shed some color on what made you decide to extend the Grand Prix so early?
Stefano Domenicali: I can answer to that, Derek. Yes. Thanks, Spencer, for the question. We believe that the Miami Grand Prix is a very important pillar of our strategy in U.S. I mean the job done is really very, very impressive. And of course, we want to give the possibility for them also to keep investing and the more we are able to give that kind of certainty, the more they will invest to grow together, not only on the business evolution but also in order together in order to have the right partnership to develop the American strategy together with them. They've been proved to be a very, very solid and strong partner. And that's the reason why we have anticipated now because there was no reason to wait.
Derek Chang: Yes. And just from my standpoint, I went to the first Miami race and then just this last one, I think the improvement and what has happened there on the ground has been pretty impressive. So kudos to our partners in Miami for what they've done, and we look forward to their continued investment in the race.
Operator: Our next question is from Jason Bazinet of Citibank.
Jason Bazinet: I just had a very simple question. You rightly pointed out that your business is defensive and is viewed as defensive by investors. The one question we get is people aren't quite sure how to think about the defensiveness of the sponsorship revenue if there was an economic slowdown.
Stefano Domenicali: Jason, I think that the answer for that is no onehas imagined both, but what we have in front of us. But what we can see is that the credibility of our platform and the fact that we are very close to them with the fact that we are discussing on a daily basis, what are the need that we need to supply to them is our strength. And the fact that we have a long-term agreement with sponsor is, of course, a financial cover in terms of the risks that we have. But it's more the relation that we have that has been built on the trust and understanding each other what are the needs. That's why, as I said, we are always very prudent, but the relationship that we have and the quality of the parts that are working together with us allow us to be very, very positive. We have long-term counted, but of course, that will reduce that financial risk. And the good thing is to stay connected and to try to see if that has been happening, how we can adjust together to make sure that our platform will offer to them what they need.
Derek Chang: Yes. And just a continuation of what Stefano just said. I mean the quality of our partners and sort of the longer-term nature of these deals, I think certainly in the near term, hopefully insulates us from some of the -- any potential macro headwinds here. I think that's the way to think about it is that the partners we have are really looking for broad global exposure. And we provide that, and we drive that, frankly, almost better than anyone else out there. And so the supply for them is not huge. And so we provide that -- we provide that in a way Stefano said where we are actively working with our partners to maximize sort of the relationship for them and for their targets and the initiatives that they have. And I think that, again, this is somewhat qualitative, but just in the conversations with our partners and understanding what their needs are. Their enthusiasm and these potential headwinds in the economy have -- it's not like they came in yesterday. They've now been around for a couple of months or speculation of them. The way these guys continue to speak about their business and the way they want to grow their business and how we can help them achieve those targets has been very reassuring.
Jason Bazinet: Is it fair to say it's not as contractual as we do [indiscernible]. I was just going to ask...
Stefano Domenicali: Sorry. Just to add that we haven't seen.
Derek Chang: Go ahead, Jason. Why donât you just ask your next question and then Stefan or I can answer both.
Jason Bazinet: Okay. I was just going to say is it for investors, is it fair to say it's not as contractual as media rights but may be more defensive than if you had an advertising business? Is that the right framing of it?
Derek Chang: No. I think these are -- it's not like a media deals in sense of or advertising deals in the sense of buying those sort of quarterly or even annually. These are long-term deals, just like our media rights deals, I think we're not going to get into the details of how long each one is. We've probably mentioned some of them. But I do think that kind of like any media deals on the sponsorship side, and just like we talked about Miami, our partners want to invest in what they partnered up with, and that takes multiple years to make the investment, activate on that investment and meet the benefits of that. That's why from a partner standpoint, they want to come in longer term with us. And I think, again, as a result, we have these sort of mid- to long-term contracts with most of these folks. And I think that helps us in times like this. But Stefano, do you want to finish up?
Stefano Domenicali: No, I totally agree, Derek, to be very transparent, we haven't seen any slowdown in our conversation despite the market fluctuation we have today with other potential that is related to what we just said about the credibility of our platform to the fact that, in any case, we believe that being a worldwide sport -- worldwide sport, which can be part of for each of them to differentiate the strategy they need to do it. So I would say that's the situation that we live in today. So it's all good.
Operator: Our last question today comes from Matthew Harrigan of Benchmark.
Matthew Harrigan: Thank you. As everyone knows, the LEGO drivers parade was marketing genius incidentally. I have a question. You're really putting up great engagement metrics across the board. I mean, linear is encouraging as well as social. And I think you're probably breaking out maybe more than anyone else in social. But nonetheless, I mean, that doesn't really monetize and sometimes it doesn't even really translate to people watching the linear channel, I think it's just younger people's way they consume content in shorter form, including sports and F1. Do you have any thoughts on how you might be able to better engage people or better monetized rather people who have shorter attention spans versus someone who's going to get up and watch a race for 2 hours.
Derek Chang: Stefano, do you want to start?
Stefano Domenicali: Well, Matthew, can I. Yes. No, thanks, Derek. I think thanks for the comment we take with pride because we never stop. We try to be different for the other platform to create some sort of interest of what we are doing. And by the way, as Derek said at the beginning of the call, the great news is that we have our drivers and our partners that are embracing our strategy because they understand the value of it. It is clear that the more we are able to do this kind of things, the more we're going to be able to monetize all what we are doing. It would be wrong to believe that you can monetize everything straight away. And that's why on that we have a strategy that needs to be diverse, but also very, very, very, complete. We have -- we need to make sure that our relations with our fans is not only to 2 hours of the race of the Sunday, but we need to have a 365 days a year of engagement try to tailor the content and this is really what we try to do in order to get access to the data we are available in order to get into the consumer habits of our fans. This is something new for us. So that's why I see potentially another important revenue stream that will allow us to be strong in an area where so far, we were maybe a little bit weak, but the potential to grow is definitely there. And the only thing that can come is if we are able to be creative as much as we can in order to be different from the other proposition.
Derek Chang: Yes. Matthew, thank you for the question -- and just a follow up on Stefano and then we'll close it out here. But what Stefano was saying is absolutely right. You're building an ecosystem. You've got a funnel here where you are trying to bring in as many people as you can to engage with the sport. Certain platforms historically have been more monetizable directly than others. But at the end of the day, we're not necessarily looking to maximize revenue on each particular platform in each particular content contact that we have with a fan. We are building the whole universe and the whole ecosystem here. So the fan sort of interacts with us on social media that's not instantly monetizable. That fan may go and purchase an F1 shirt, that fan may ultimately attend a race. That fan may end up in Las Vegas one day and want to go to Grand Prix Plaza. That fan may tell their parents to start watching races. So I think that there are so many ways that we ultimately will monetize sort of any of these points of contact that not every single point of contact that in itself has to be monetized. So with that, I will close the call for this quarter. I want to thank all of you on the call who have participated and all the questions, great questions that we received. We appreciate your support and look forward to continuing the dialogue. Thank you very much.